Operator: Welcome to the NICE Conference Call discussing Fourth Quarter 2024 Results, and thank you all for holding. All participants are at present in a listen-only mode. Following management’s formal presentation, instructions will be given for the Q&A session. As a reminder, this conference is being recorded, February 20, 2024. I would now like to turn this call over to Mr. Marty Cohen, Vice President, Investor Relations at NICE. Please go ahead.
Marty Cohen: Thank you, operator. With me on the call today are Scott Russell, Chief Executive Officer; and Beth Gaspich, Chief Financial Officer. Before we start, I would like to point out that some of the statements made on this call will constitute forward-looking statements. In accordance with the safe harbor provisions of the Private Securities Litigation Reform Act of 1995, please be advised that the company’s actual results could differ materially from these forward-looking statements. Additional information regarding the factors that could cause actual results or performance of the company to differ materially is contained in the section entitled Risk Factors in Item 3 of the company’s 2023 Annual Report on Form 20-F, as filed with the Securities and Exchange Commission on March 27, 2024. During today’s call, we’ll present a more detailed discussion of fourth quarter and full year 2024 results and the company’s guidance for the first quarter and full year 2025. You can find our press release as well as PDFs of our financial results on NICE’s Investor Relations website. Following our comments, there will be an opportunity for questions. Let me remind you that unless otherwise noted on this call, we will be commenting on our adjusted results of operations, which differ in certain respects from generally accepted accounting principles as reflected mainly in accounting for share-based compensation, amortization of acquired intangible assets, acquisition-related and other expenses, amortization of discount on debt and loss from extinguishment of debt and the tax effects of the non-GAAP adjustments. The differences between the non-GAAP adjusted results and the equivalent GAAP figures are detailed in today’s press release. The information and some of our comments discussed on this call may contain forward-looking statements that are subject to risks, uncertainties and assumptions. I’ll now turn the call over to Scott.
Scott Russell: Thank you Marty and welcome everyone. I’m excited to be talking to you today for the first time as CEO of NICE. Before we dive into today’s call, I want to take a moment to acknowledge Barak’s strong leadership that brought NICE to where it is today. It is an honor to lead a company renowned for its relentless innovation, customer centricity and operational excellence. I joined NICE for its undisputed leadership and for its immense potential for growth. With a strong financial foundation, industry leading solutions and 9,000 plus dedicated NICEs all around the world, we are poised to drive NICE into the next era of growth. On today’s call, I want to focus on two key themes. First, NICE is the undisputed AI leader in customer service. We continue to redefine what’s possible with the most advanced and comprehensive AI platform in the industry, purpose built for speed, agility and scale. I’ve spoken to a number of customers and partners already and their feedback is unanimous. Enterprise has turned to NICE because they trust that our AI platform, CXone Mpower, delivers real, measurable outcomes. We’re improving customer experiences for hundreds of millions of people worldwide, managing over 3.5 billion AI interactions annually while driving tangible value for our clients, simply put we are leading this market and we are doing so decisively. Second, the opportunity ahead is extraordinary. Agentic AI is reshaping industries at an unprecedented pace and with CXone Mpower we are already ahead of this tectonic shift. Our AI powered agentic automation is setting the new standard, combining cutting edge technology with our deep CX domain expertise, especially in the large enterprise market. Our financial strength, our relentless innovation and international expansion uniquely positions us to capitalize on the opportunity ahead and accelerate into the future. Let me build upon my first point of undisputed leadership which is exemplified by our outstanding fourth quarter and finish to the year. For the full year 2024, we exceeded the high end of our revenue guidance and came in at the high end of the range for EPS. For Q4, our cloud revenue grew 24% to $534 million, which is the highest cloud growth on the largest cloud revenue base in our industry. Moreover, quarter to quarter cloud growth from Q3 to Q4 accelerated to 6.8%. This excellent cloud revenue growth drove a healthy year-over-year increase in total revenue and reflects our strength at the high end of the market as we reached a milestone of over 400 enterprise cloud customers with over $1 million in ARR. Our leadership also flows to the bottom line. Our exceptional profitability continues to set us apart from the rest of the industry. NICE’s outstanding profitability metrics speak for themselves. Operating income increased by 22% to $227 million, driving further expansion in our operating margin by 150 basis points to 31.5%. This in turn fueled an impressive 28% surge in EPS compared to the same quarter last year, reaching $3.02 for Q4. We delivered stellar cash flow, generating $250 million in operating cash flow in Q4, bringing our total to $833 million for 2024, a remarkable nearly 50% over the prior year, further extending our strong track record of accelerating cash flow year after year. These exceptional results reinforced our position as the industry leader. I’d like to elaborate further on our AI leadership. CXone Mpower is revolutionizing the way AI powers customer service. It is the only platform in the market that delights the consumer experience with speed and accuracy from intent to fulfillment. It does this through seamless orchestration of all voice, digital and AI interactions. CXone Mpower boosts productivity of both human and AI agents with a smart workforce augmentation. At the heart of CXone Mpower is agentic AI acting with autonomy by continually learning and making intelligent decisions to enhance customer interactions in real time. CXone Mpower is a game changer in meeting customer needs at scale, encompassing the largest repository of CX label data, knowledge and thousands of AI models in one platform, CXone Mpower is setting a new industry standard. We are undeniably winning in the era of agentic AI. We go beyond the slideware. We are delivering real results. In 2024, our advanced AI solutions were included in 97% of our large enterprise CXone Mpower deals over $1 million ARR. In one such 7-digit ACV deal, one of the largest retailers in the world, who are already relying on NICE to handle 75 million interactions annually, they chose CXone Mpower to differentiate through advanced AI capabilities supporting their immediate and growing consumer needs. A very large university in a 7-digit ACV deal is going all in on AI with NICE after a diligent competitive process. They chose CXone Mpower, including Autopilot and Copilot, to significantly improve their student experience and expecting 30% ROI. In another 7-digit ACV deal, a large managed care organization decided to modernize and simplify their multi-vendor tech stack and add advanced CX-AI capabilities to enhance their customer service. After being presented with generic AI from their CRM incumbent, they quickly realize that the only path forward was CXone Mpower. We signed a 7-digit ACV deal with one of the nation’s leading university medical centers. Driven by a strong commitment to maximize ROI from their CX operations and elevate the patient experience, they chose CXone Mpower to consolidate onto a single AI platform. These are just a few examples of enterprises repeatedly choosing NICE because of CXone Mpower’s ability to scale at unmatched levels, deliver proven AI innovation, eliminate complexity of fragmented multi-vendor solutions and provide seamless consumer experience across all channels. Other examples including – include 7-digit ACV deals with a large furniture retailer, a well-known U.S. regional bank and a leading healthcare outsourcer. I open today’s call discussing our proven leadership in AI and the immense growth opportunity in front of us. As I look to the future, the opportunity is clear, and let me explain why. Firstly, our market is growing. According to Gartner, by 2028, 33% of enterprise software applications will include agentic AI, up from less than 1% in 2024. This bodes very well for NICE since one of the most impactful use cases for agentic AI is in customer service, where it’s revolutionizing interactions and efficiency. We are at the forefront of this industry-wide transformation, uniquely positioned to drive and benefit from this shift. With our cutting-edge platform and seamless integration of both human and AI collaboration, we are setting the standard for the future of customer experience. Secondly, alongside the tremendous market opportunity, NICE’s unique strengths position us for unparalleled success. With our CX-specialized AI, our industry-leading platforms and unwavering financial strength, we have all the assets needed to drive both organic and inorganic growth. Our proven profitability and rock solid balance sheet gives us the confidence to be bold, move fast, disrupt the status quo and think bigger than ever before. Now is the time to seize the moment and lead the future of CX with innovation and ambition. To capitalize on this market opportunity and leverage our strengths, we will unleash our market leadership by putting CXone Mpower in front of every organization possible to expand our market lead and set the benchmark for excellence. We will lead the CX-AI revolution. Agentic AI is our superpower, and we are embedding it in everything that we do, maximizing our innovation edge and reinforcing our position as the undisputed leader in AI-driven solutions. We will scale with a powerful ecosystem by aggressively expanding our strategic partnerships from technology partners to global systems integrators, turning collaboration into a force multiplier that accelerates growth and amplifies our impact worldwide. Finally, speed and precision matters. As you can see, we have the industry leadership, the AI assets and amazing market opportunity to capitalize on. We will move even faster with laser focus to win and invest for growth in 2025. The energy across NICE is undeniable, and we are all dedicated to driving our vision forward. We are finalizing our updated growth plan, and I’m looking forward to sharing more details with you in the near future. After 50 days as CEO, I’m even more excited about our potential and the journey ahead. I will now turn the call over to Beth.
Beth Gaspich: Thank you, Scott. I’m proud to report a strong finish to the year with full year 2024 revenue exceeding the high end of our guidance range and EPS coming in at the high end. Our industry-leading cloud AI platforms and exceptional financial strength set us apart in the market. We delivered the ultimate trifecta: profitable growth at scale, an iron clad balance sheet and best-in-class free cash flow generation. Let me now share the details of our results that demonstrated this impressive performance. In Q4, our total revenue accelerated sequentially to 16% growth year-over-year on the largest revenue base in our market, and we generated a record $733 million in free cash flow for 2024, easily exceeding our $700 million target that we shared in June of last year. Total revenue in Q4 was a record $722 million, increasing 16% year-over-year primarily driven by the strength of our cloud revenue and from strong product revenue performance in the financial crime segment. Our CXone Mpower platform is being rapidly adopted by our customers, and this success is reflected in our strong cloud revenue performance. In the fourth quarter, we achieved a record $534 million in cloud revenue, delivering outstanding 24% year-over-year growth. Additionally, cloud revenue represented a record 74% of our total revenue. This milestone, combined with strong product revenue growth, showcases the exceptional fourth quarter performance of our business across all areas. Our cloud revenue mix is increasingly shifting towards large enterprise customers who show a strong preference for our comprehensive suite of AI solutions on our cloud platform. We continue to see an increase in average deal size, reflecting the breadth of our portfolio, along with our strength and domain expertise in the large enterprise market. As we highlighted last quarter, it’s important to note that large enterprise cloud deals typically take longer to fully ramp up and be recognized in revenue. We may experience some short-term delays in revenue recognition, but this sets us up for stronger long-term growth and profitability from our loyal and sticky customer base. Our services revenue continued to fuel our cloud revenue as our customers increasingly migrate to our cloud AI platforms. As anticipated, our services revenue, which is comprised primarily of maintenance, decreased year-over-year to $150 million with this ongoing transition of our large enterprise on-premise customers to the cloud. Across all our business segments, our customers overwhelmingly prefer our cloud platforms, as demonstrated by our strong cloud revenue mix and robust pipelines. In the fourth quarter, in addition to our outstanding cloud growth, we also achieved excellent product revenue growth driven by the success of our on-premise solutions and our financial crime and compliance segment. Product revenue, which represented 5% of total revenue in the quarter, grew 19% year-over-year as a result of several large FCC term deals. From a geographic breakdown, the Americas region, which represented 85% of total revenue in Q4, grew 17% year-over-year. The Americas region has continued to excel in both of our business segments and we are seeing great wins with new enterprise customers as well as expansion from within our large customer base. The EMEA region, which represented 10% of our total revenue, increased 11% year-over-year driven by strong cloud revenue growth. The APAC region, which represented 5% of our total revenue, delivered robust cloud revenue growth, which was partially offset by a decrease in the on-premise business, resulting in an increase of 4% year-over-year. We are extremely pleased with the outstanding performance of our CX international business in 2024, achieving a record year in CXone Mpower new bookings and corresponding growth. Our exceptional performance is driving strong growth in our international cloud revenue with increasingly higher recurring revenue. Our international cloud revenue from the combined EMEA and APAC regions now exceeds $230 million in ARR, and these two regions continue to represent excellent growth opportunities with impressive pipeline.. Turning to our business segments, we delivered strong results in both Customer Engagement, and Financial Crime and Compliance in the fourth quarter. Customer engagement revenues, which represented 83% of our total revenue in Q4, were a record $596 million increasing 14% year-over-year as a result of a blend of much higher cloud revenue growth combined with the expected decline in our on-premise business. The growth in customer engagement was driven by the growth in our CXone Mpower platform. Revenues from Financial Crime and Compliance, which represented 17% of our total revenue in Q4 and totaled a record $1 million, increased 24% year-over-year driven primarily by strong in quarter premise based sales. Additionally, we continue to see strong cloud revenue growth and increasing demand for and adoption of our Actimize cloud platforms. Moving to profitability, our cloud gross margin totaled an expected 70.6% in Q4 as we continue to strategically invest in international expansion and the scaling of our cloud business in the Financial Crime and Compliance segment. These markets are still in the very early stages of cloud adoption and while they present significant growth opportunities, the initial investments have led to a short term impact on our margins. Our top line outperformance carried through to our bottom line as evidenced by the strength of our operating income. Our operating income in Q4 increased 22% year-over-year to a record $227 million, and our healthy operating margin expanded 150 basis points year-over-year to 31.5%, the sixth consecutive quarter over 30%. I am excited to share that we achieved both our annual operating income target of $850 million for the full year 2024 and our operating margin target of over 31%. Given our strong profitability performance in the quarter, combined with the smart management of our investment portfolio, earnings per share for the fourth quarter were $3.02, an impressive 28% increase compared to Q4 last year. Cash flow from operations in Q4 was $250 million, an increase of 38% year-over-year. For the full year 2024, we have generated free cash flow of $733 million, surpassing our free cash flow target of $700 million set out in Q2, yielding an exceptional free cash flow margin of 27%, a level unrivaled in our industry. Our financial strength provides us with a powerful tailwind to see the opportunity in front of us. Further, our positive and growing free cash flow enables us to reinvest in our future growth, acquire strategic assets rapidly and reward our shareholders with our expanded buyback program, all while maintaining our rock solid financial foundation. In Q4, we repurchased shares totaling $95 million and $369 million for the full year 2024, an increase of 28% year-over-year. We will continue executing our current $500 million share repurchase program throughout this year. Total cash and investments at the end of December totaled $1.622 billion. Our debt stands at $450 million resulting in net cash and investments of $1.2 billion. Our debt matures in mid-September of this year. At this time, our expectation is to repay the debt on maturity. Therefore, we expect less investment income to be generated in the second half of 2025. Before we turn to guidance, I’d like to connect how our plans to investor growth translates into financial expectations for this year. As Scott shared, we have a tremendous growth opportunity ahead of us. In 2025 we will continue to invest in expanding our AI innovation and cloud platform capabilities, while further broadening our ecosystem. As a result, we expect our strong cloud gross margin to remain flattish in the near term, and we expect a modest 50 basis point expansion in our operating margin in 2025. The underlying financial strength of our business provides us with great flexibility and these shifts to advance investment into our business are expected to be achieved while delivering leverage in our model resulting in a double digit growth expectation in EPS. Now I will close with our total revenue and non-GAAP EPS guidance for the first quarter and full year 2025. For the first quarter of 2025 we expect total revenue to be in the range of $693 million to $703 million, representing 6% year-over-year growth at the midpoint. We expect the first quarter 2025 fully diluted earnings per share to be in a range of $2.78 to $2.88, representing 10% year-over-year growth at the midpoint. Full year 2025 total revenue is expected to be in a range of $2.918 billion to $2.938 billion which represents an increase of 7% at the midpoint. Our full year 2025 cloud revenue is expected to increase 12% year-over-year. We expect our effective tax rate throughout 2025 to be in the range of 19% to 20%. Full year 2025 fully diluted earnings per share is expected to be in a range of $12.13 to $12.33, which represents an increase of 10% at the midpoint. I will now turn the call over to the operator for questions. Operator?
Operator: [Operator Instructions] Your first question comes from the line of Meta Marshall with Morgan Stanley.
Meta Marshall: Great, thanks. Can you just maybe give a little bit of background into what went into the consideration of the cloud growth rate? And just if there is any way to differentiate either what LiveVox becoming organic, is this a headwind, would just be helpful. Thanks.
Scott Russell: Sure. So, first of all, thank you for the question. I do want to reiterate, as I spoke earlier and as Beth spoke, we are very positive about the market. and NICE is uniquely positioned to seize on that opportunity. We are providing a prudent guidance at this time of year and we will continue to monitor as the year progresses. As I stepped into the leadership of NICE, it is also my desire to increase the transparency for our investors. Beth and I are looking at the best ways to enhance our financial disclosures and I look forward to sharing more details, as I mentioned earlier. But maybe, Beth, if you can share more detail on those expectations.
Beth Gaspich: Of course, yes. And thank you, Scott. And thanks for the question, Meta. So let me address your question a bit more and try to also help bridge from where our performance has been in the last quarter as well as full year 2024 to what we’re guiding for the current year. First, I would start off by saying we’re very pleased, we had a tremendous fourth quarter and full year in the cloud last year. So, we’re quite proud of the accomplishment we just stepped away from. As we step into 2025, Scott highlighted, first of all, that it is still early in the year. And so of course, we are considering prudence at this point in the year. There are several factors that we have taken into consideration as we’ve set this guidance. I think, first of all, even going into last quarter, we had highlighted that we expected and we were seeing some positive seasonality in the fourth quarter, which played out. But certainly, seasonality is not something that you can always be confident around and so we have taken that into consideration and have not assumed that we will have the same level of seasonality in the back half of this year given that it’s still early in the year. The second thing that I would call out and that Scott also highlighted in his remarks earlier today, is that we do know that we are seeing more and more large enterprise deals, and these deals are taking us longer to deploy. In the fourth quarter, we actually saw an improvement in the deployment time. But of course, it’s something that we’re continuing to be focused on and need to be confident that that will be a recurring event. And then you mentioned LiveVox as well. So, I think if we look back to last year, we had given some indication of what our expectations were for LiveVox, which they met and actually outperformed slightly as we looked in the end of the year. But to your point, we’ve known that the LiveVox growth rate does come with a bit of headwind. And of course, we are – have that factored into the guidance as well. So, I would say all of those are a combination of things that were considered as we thought about the guidance of the 12% on cloud for this year.
Meta Marshall: Great, I’ll pass it on. Thanks.
Operator: Your next question comes from the line of Samad Samana with Jefferies.
Samad Samana: Hi good morning. Thanks for taking my questions. Scott, welcome. Congrats on the new role. Maybe we will start with just a big picture question. I understand more large enterprises adopting CXone, more full platform deals. I will say you guys have had a pretty strong pipeline for most of 2024. Just help us understand when the phenomenon that started delaying the rev rec started, and could that trend reverse? Are you baking that in as the baseline going forward? I guess what I’m trying to understand is, is there risk of that 12% if enterprises further delay go-lives or if they change the size and scope of deals? Just help us understand how much conservatism is baked into that.
Scott Russell: So first of all, thank you for the welcome. And thank you for the question. Let me start by saying I’ve got a lot of experience in large enterprise, large transformation, large scale deals in my past experience. And the one thing I know is that as you increase the capability that the solutions offer, that often results in the short term longer lead times in being able to deploy, to be able to take advantage, to be able to use the adoption and ultimately for our customers to benefit. We all know the benefits of the AI capability of CXone Mpower. And as you rightly point out, the majority of our large deals are all with the embedded AI capability that CXone Mpower brings. But what it also means is that our customers are figuring out how to best exploit that capability, expand and deploy and use it in the most effective ways with us. So, I see a short-term opportunity to be able to accelerate that. There is no doubt that in 2024, the team here have already worked on ways to accelerate the ability to time the revenue from when we sign these deals to when they are able to utilize the value. That will continue. We will look at further ways to be able to accelerate it. But we also recognize the potential of an AI platform is exciting, and it means that you need to be constantly focused on the customers’ outcome, delivering the excellence that they need, delivering the customer service efficiency that they are expecting, but also delighting the consumer experience. And I think sometimes that’s underappreciated because ultimately agentic AI, together with our human agents, will make the consumer experience even more effective and businesses are sharp about this. They want to make sure that when they’re deploying this, that it’s going to work, it’s going to scale, it’s going to work in real-time. And so they’re considered in that with partnership with us. So, I see a short-term effect on the concern around the deployment. We will get better, we will get faster, we will get more agile as we do that, as we scale this business. And the good news is our customers will then get the benefit from that. And I am not sure if Beth is there anything to add.
Beth Gaspich: Yes. No, I wouldn’t add much. I think you’ve described it quite well, Scott. And the only other thing, bringing it kind of back more to where we’ve been with it, I think, Samad, you’ve heard us announce each and every quarter probably more and more large seven-digit ACV deals. And so it’s kind of been a – we’re succeeding in that part of the market, and therefore, we’re having more of those deals that need to be deployed at the same time. So, as Scott said, we’re understanding challenges, we’re certainly focused on broadening our capacity in terms of our deployment partners and our ecosystem. And so we will tackle that, but it is something that we’re not yet over. And so of course, again, we have taken that into consideration as we look to the full year. And of course, we will continue to provide updates as we show improvement throughout the year.
Samad Samana: Understood. And maybe just a follow-up on the 1Q guide. If I think about the midpoint, it implies a modest decline quarter-over-quarter. The last time you guys had a quarter-over-quarter decline was in March 2020 if I’m looking correctly. So, just what’s changing there? I know you mentioned some of the seasonality in the prior question as well. But can you just help us think about maybe within the different line items, is there something in particular that’s driving that quarter-over-quarter decline that’s been atypical in recent years? Just help us contextualize that first quarter guidance of [indiscernible].
Beth Gaspich: Yes, sure. And it’s exactly what you highlighted, which is it’s predominantly seasonality. We had some very healthy seasonality that we just came off of in the fourth quarter. When we looked across our verticals, we know our retail customers had strong usage that we saw uptick in the fourth quarter. And some of that is quite seasonal. It’s in the retail sector. It’s in some of the health care sector, especially with benefits renewals and things like that. So, we are again taking that into consideration. We don’t want to be overly assertive with an expectation around seasonality. And so that is baked into the expectation in the first quarter.
Operator: Your next question comes from the line of Siti Panigrahi with Mizuho Securities.
Siti Panigrahi: Thank you. Scott, congratulations on your role as CEO, and look forward to working with you. I have a big picture question. We certainly agree that AI is a massive opportunity. How do you view in this like changing environment right now about investing more to capture this market at this point versus driving profitability?
Scott Russell: Thank you, Siti. And look forward to working with you also. Look, I think there is a few variables to consider. The one is we in the industry, we’re living with AI as though it’s been for decades and generations, whereas the reality is agentic AI and the capabilities and what the potential it brings, it’s still very much in exploration mode. It’s in exploration mode from our customers but also from the providers in the market. And so, that gives me immense confidence that when you think about customer service and you think about the needs of customer service, there is two critical things that we’re trying to provide for. One is delight the consumer. They want to interact with a single platform, no matter what channel they use, no matter how they interact, no matter – and they want it real-time. I really want to highlight this real-time matters. Some of the agentic AI and the AI applications out there in the enterprise plays are very much on a systems of record basis. We don’t live in that world. We live in the real-time world. And when a consumer interacts with our platform, it’s got to work. And so our focus is making sure that, that’s seamless, it’s responsive with speed, they’re able to get fulfillment with speed and we see the AI capability, combined with our existing strengths, our voice and workforce management, as well as our digital and analytical stack are being the prerequisites to be able to take advantage of the agentic AI possibility, because you then can have a real-time experience fulfilling the customers’ need in a seamless and a synchronous-asynchronous way. So, the first is we’re looking at it very much on investment of how we can make that consumer experience the most positive, the most benefit, and they’re fulfilled at speed. The second is, when you look at then the orchestration and the fulfillment of it, there’s a lot of different data points. And so we want to be the centerpiece of how we fulfill the consumers’ need and automate that drive efficiency so you can rely more on AI, less on human agent. But it’s not going to be a replacement completely, it’s the interaction between and then a deeper fulfillment through the back office. And that’s where partnerships – and when I think about our ability to be able to deliver that, we will deliver at the front ourselves. But we will obviously work with the technology partners, which I highlighted earlier, to be able to ensure that the customer gets the end outcome, which gets our innovation together with our partners to fulfill the best response. The last but not least in this, sorry, if I just finish it out. The last thing that I would say is this. Agenetic AI or the AI platform is not new for NICE. I actually joined and I spent a lot of time researching the capability that we have. We’ve got a proven platform already, and we’ve been investing in it for many years, credit to Barak and the team. So we’re not starting from zero. We’re starting from a mature platform already. Now yes, there’s more to do and we want to invest further, but we can invest in profitable growth.
Siti Panigrahi: That’s super helpful. And Scott, as you bring a lot of experience, enterprise and go-to-market, how are you thinking about the changes you’re going to bring here in the go-to-market side? And specifically on the partnership side, what changes you can see? And especially, if you can talk about some of the partners now, and turning into competitor, how are you going to address those?
Scott Russell: So thank you for the question. And look, I do have a lot of experience. I’ve got a lot of experience in my background being able to take a strong asset, being able to leverage partnerships together with a really, really strong go-to-market capability and being able to turn that into value for customers and growth for the company. And we will do that here. To answer your question explicitly, there’s no doubt that systems integrators, technology partners, and I would also highlight strategic advisers, they’re a force multiplier when you partner well. So strategic partnerships is the word that I would like to highlight. It’s not partnerships with everyone because we already partner really well today. It’s really zeroing in on the strategic partnerships that we’ll be able to expand the end-to-end value proposition for our customer to be able to give them the best outcome. And that means the reach of global systems integrators is important because they have the expertise, the industry domain around the world. It means technology partnerships because we know what we’re really strong at, but we also know who we need to work with to be able to give end-to-end solution for our customers. And the advisory is more about what are the trends, what’s coming and how do we then take advantage of that to give more value to our customers? So you can expect a lot of emphasis around strategic partnerships in the short term, because I do see it as a real opportunity for us to expand our reach and deliver to a wider customer base than even we do today.
Operator: Your next question comes from the line of Rishi Jaluria with RBC Capital Markets.
Rishi Jaluria: All right, wonderful. Thanks so much for taking my questions. Scott, looking forward to working with you in the new role. Maybe two for me. First, I want to start by thinking about just kind of CXone bookings. What have you been seeing? I know there’s been a little bit of discussion about kind of ramp rev rec. But in prior quarters, you’ve talked about record CXone bookings. To my knowledge, I didn’t hear that comment again on the prepared remarks. Maybe can you just give us a color in terms of what you’re seeing in terms of overall CXone bookings. And then I’ve got a follow-up.
Scott Russell: So first of all, Rishi, great to connect, and thank you for the question. So as you rightly point out, CXone, and I mentioned in today’s call a number of seven-digit ACV CXone Mpower deals. The majority of our large deals, as I talked about, the $1 million ARR plus, are embedded with CXone Mpower. So the growth and the expansion of the platform, that not only includes AI, by the way, it includes core capabilities to be able to provide the contact center, the customer service at scale for our customers. And that is growing. And that was reflected, I believe, in 2024, where we’ve mentioned several times about strong bookings performance and growth in that area. My expectation is, we continue on that trend. And I see obviously the potential for even further expansion, and look forward to sharing those details as the year progresses, how we exploit the opportunity and drive that into not only bookings growth but ultimately turn into revenue growth as we look to the future. Beth, is there anything to add on the guidance?
Beth Gaspich: No. I think that you’ve highlighted the strength that we saw, and we’ve talked and as I highlighted earlier, many quarters about the number of large enterprise deals we’re winning as well as tremendous year in international with record growth there and the record largest international deal that we announced in the second quarter of last year.
Rishi Jaluria: All right. Wonderful. And then, Beth, on your prepared remarks, you talked about cloud gross margins being relatively flat in 2025. Is – maybe what are you contemplating in terms of the impact of GenAI? Because we all know these GenAI workloads can be really compute and resource-intensive. And so if you are lending all these large deals with AI, what sort of impact is that having on your overall cloud gross margins this year and maybe even in the medium term? As we think about uptake of AI, what should we be thinking about that impact there on gross margins? Thanks.
Beth Gaspich: Yes, sure. Let me first explain a bit more about my comment around flattish gross margins this year. And I would say you’ve seen a little bit of that playing out in 2024 as well. This was less related to AI and more about our investments that we’ve talked about, both internationally on the CXone Mpower platforms as well as in the FCC business where they’re still less mature. We have some fixed and we’re still scaling and ramping up the customers and the revenue on the other side of that. So that’s really the nature of my remarks as it pertains to really the more current year. As we look forward, however, we all are seeing that AI is becoming more cost effective as well as compute specifically. And so we expect that to play out in our margins. Regardless of the flattish tone for the current year, that is due to investment, and we certainly remain highly confident in our ability to scale to continually to expand our cloud gross margin. And of course, the cost of compute in AI specifically will help us drive that even at a greater clip.
Operator: Your next question comes from the line of Tyler Radke with Citi.
Kylie Towbin: This is Kylie on for Tyler. Thanks for taking the question. You all saw a good product beat this quarter. Can you talk about why customers may be choosing to stay on-premise for longer? And what are your embedded assumptions around conversions and migrations for 2025? And how does that compare with 2024? Thanks. And I have one follow-up.
Beth Gaspich: Yes. Thanks, Kylie. I’ll start with that. I think with respect to product, if you looked on our performance in 2024 and notably in the fourth quarter as well, what we’re seeing is that there are certain segments in our business, which tend to be financial crime and compliance and sometimes our international regions where cloud is in it’s more early stages of adoption by customers and either as a result of the newness of the cloud into those segments as well as sometimes customers simply prefer to deploy our premise software in their own environment. Sometimes it’s a cultural thing. I think with FCC and particularly we see that more so, certainly, than the CXone Mpower business where we have very few premise deployments at this stage, and again occasionally internationally. But we see that more so in the FCC business. And again, it tends to be a cultural approach to financial institutions where they have a history of managing the software within their own data centers and their own environments. In general, it still tends to be not the norm. If we look at the pipeline all of our businesses, including financial crime and compliance, they are still cloud-centric. That is still the way that we are predominantly going to market and incenting our sales and our customers. But we do see those from time to time. And again, that is, what we experienced in the fourth quarter. I will add that as it relates to guidance and our expectation around that, in general, we are a cloud-first company. And so as we have considered what that means into our guidance for next year, we have assumed that our business continues to increase on the cloud and that in relation to that, the premise business continues to decline. In terms of the pace of that transition, as you’ve asked, we expect the pace in 2025 to be more or less the same and assumed in the guidance. However, we – Scott and I both see that as a wonderful opportunity for us to actually accelerate that. And Scott, I’ll let you talk about that more.
Scott Russell: Yes. Thanks, Beth. So I think just to reiterate, so our guidance has assumed a consistency from what we’ve had in the past. But I do want to highlight, and I guess again I have a lot of real experience this at scale, not only do we want to accelerate time to revenue from our point of view, but it’s time to value for our customers. And so there is going to be a great emphasis on that transition path. They are loyal, long-term existing customer of ours, whether it be on the CX side or on the FCC side. But either way, they do actually want to exploit the benefits of the cloud and AI. It’s more to how to get there that is the critical point. And so we’re going to be putting more emphasis on how to transition, do so cost effectively in a risk-managed way, in a way that they can get the benefits, but not introduce concerns or within that will then give us the potential upside that we all see, and Beth and I are obviously very excited about.
Kylie Towbin: Thank you. That was super clear. And then if I could squeeze in one more. On the 12% cloud growth guide, could you just talk about the macro assumptions that you’re embedding and maybe the customer ramps as it compares to 2024? Thank you.
Scott Russell: So maybe I’ll start, and then, Beth, I’ll hand you on the ramp side. But on the macro assumptions, look, we’re positive. And we’re positive because the buying sentiments in the market particularly in SaaS, you look at what’s happened with the GenAI market, a lot of it initially went to the LLMs at the infrastructure layer, at the compute layer. But it’s very quickly moving to the SaaS layer. Companies are looking for exploiting the benefits in the way they run their processes, their workflow, their tasks, their customer service. And so at a macro level, we are actually optimistic about the landscape, about the potential for us. I don’t see any concerns from a headwind from that point of view. And the real opportunity for us is to initially put that into bookings. And then ultimately, that will then convert into revenue as time goes as we deliver the value for them. And that’s where our emphasis is. Beth?
Beth Gaspich: Yes. I don’t know that there’s much more to add. I think you’ve explained the opportunity ahead of us. And we’ve already said that essentially, we expect that the 12% growth is that going to be equally distributed across each quarter in terms of that 12%. So we believe, we have an opportunity to revisit that, and we’ll obviously update throughout the course of the year, because there is a great opportunity. And with those customers that are deploying, what we see in practice is that they do not turn everything on day one. There is a gradual ramp. And then the consumption and usage benefits us. So again, we will continue to monitor all of those. And that is what we’ve seen in practice from our customers as they drive ROI in their organization, and it enhances and increases our ARR as a result.
Operator: [Operator Instructions] And your next question will come from the line of James Fish with Piper Sandler.
Quinton Gabrielli: Hey guys, this is Quinton on for Jim Fish. Thanks for taking our question. Beth, maybe my one for you. In the Analyst Day earlier in the year, I think we highlighted a 113% net retention rate for CXone customers. Obviously, you talked about some slower revenue recognition that probably declined that a little bit. But any color you can give us to where we’re at exiting the year for net retention rate? How you think about expansion for customers in 2025? Is this the main weakness as we think about the forward guide or the kind of the balance of net new? Any color there would be helpful. Thank you.
Beth Gaspich: Yes. Thank you for the question, Quinton. And as you highlighted, NRR is something that we shared at our Investor Day. It continues to remain healthy and it’s not a factor that we’ve considered of any expectation that we’ll have any deterioration in that. In fact, as we talked about, we see that more as an opportunity ahead of us as customers really fully ramp some of the portfolio on CXone Mpower that we have been deploying and will continue to deploy. So I would just highlight one of the other things that Scott and I have spent a lot of time talking about is the opportunity for us to kind of provide some additional disclosures from time to time around some of these metrics. So while that hasn’t been our practice in the past, I think certainly it’s something that – Scott, will let you speak too, I know you desire. And – but in short, I do want to ensure that it’s understood that we see – continue to see a healthy NRR and don’t expect deterioration as being a part of the guide.
Scott Russell: Yes. So just on NRR, there’s no doubt that we see upside on that, and that would be our expectation going forward. And I don’t see any concern there. But to Beth’s point, there’s no doubt that in our business, there are a lot of different factors that lead ultimately to the revenue growth, retention of customers, expansion of customers, being able to improve, reduce compression and, more importantly, expand the usage, speed up deployments. There’s a lot of different factors. So I’ve definitely got the desire and the intent to increase the transparency for our investors. So as we move forward, your understanding and the explanation of how we’re driving the business? How we’re driving the growth opportunity that we’ve talked about can be understood and then shared to the investor base.
Operator: Your next question comes from the line of Arjun Bhatia with William Blair & Company.
Arjun Bhatia: Scott, maybe one for you. Can you just talk a little bit about agentic AI? And I certainly see that as an important trend going forward here. But when you think about how customers reviewing agentic AI versus co-pilot versus human agents, how do you see this kind of a balance from those three playing out? Is agentic really making it that much easier for you to maybe sell into the customer base as the [indiscernible] is much more evident? Just talk a little bit about what you’re seeing in sales cycles and demand on the agentic side.
Scott Russell: Great question, Arjun. And I need to be – I need to highlight. I’m only 50 days and so be aware, although I have obviously interacted with a lot of customers and partners already. So I feel like I’ve got a good understanding not only of the market, but also the needs. There’s a few factors that we see. The first is agentic AI and the capability and the possibility, it’s clear. And I think all of our customers see that. They see the potential of a continuous learning platform being able to interact and being able to drive productivity, to drive efficiency. But in customer service, But in customer service there’s a few variables that are really loud and clear for our customers. First, when they interact, it’s got to work. Why do human agents? Because the human agent can interact with complex or simple car and they need to make sure that intent, that consumer request gets fulfilled. And so when they’re deploying agentic AI in a consumer context, they have the same expectation. Real time capability, high quality response, speed of resolution. Now we see that as an advantage for us because we obviously understand with our knowledge, with our platform, with our models already about how we use that to help the agents be able to serve those consumers and our self-service platform. So for us it’s an extension on a single platform to be able to fulfill that. And a lot of our customers are not looking for generic platforms when it comes to consumers experience. So I think what you’ll see as we look forward is the context sensitivity, the domain knowledge on the data and the interaction. Who the actual user is, is it an employee, a supplier, in our case a consumer? It does matter. The second is I was intrigued when I spoke to a number of customers that they’re trialing agentic AI in the back, but they’re leveraging a single platform at the front. So they don’t want to be able to trial in front of their customers. They’re not going to take that risk. They’re looking at a single platform. That’s why for us the platform, that unified platform of voice digital AI becomes really important because they’re not looking for breakpoints on the interaction that will deliver to poor customer service, poor efficiency. They don’t want that fractured. Lots of breakpoints between tech. So, it’s interesting how it will play out. I am very optimistic about customer service being a really. I think it’s going to be one of the use cases that will be proven agentic AI to be able to deliver on the ROI. I do believe firmly that we will see over time a reduction in human agents, an increase of AI agents. But the combination and the interactability is going to be the key. Rather than you go to one channel or the other, you need to have a unified platform to be able to fulfill a consumer who frankly doesn’t really care about how who they interact. They just want their service request fulfilled. And that’s what we zeroed in on.
Operator: Your next question comes from the line of Michael Funk with Bank of America.
Unidentified Analyst: Great, thanks for the question. This is Matt [ph] on From Mike? Maybe can you help us frame the expectations for contribution from the RingCentral partnership to revenue, I think, into 2025 relative to the 2024 run rate? Is that a headwind we should be considering in the context of the 12% organic cloud revenue growth guidance?
Beth Gaspich: Yes. Thank you for the question. Ring is one of many, many partners that is part of our ecosystem. We have many different partners that are actually working with us, tending to be at the SMB in lower of the market. So we don’t expect to have any kind of negative impact to our revenue and that is not a consideration. And Scott, maybe you can...
Scott Russell: Yes. Look, all I’ll say is, I mean, I’ve interacted on a pretty regular basis with Vlad and the team. I mean, we see the potential of the partnership being able to drive value, particularly for our SMB customers. It’s one of our many partners that are able to deliver an end-to-end proposition to serve our customers. So certainly no negative impact when it comes to our full year outlook.
Beth Gaspich: Yes. At the end of the day, we still have the best-in-class CXone, Mpower platform, and that’s the customers are looking to get.
Operator: Your next question comes from the line of Patrick Walravens with Citizens JMP.
Patrick Walravens: Great. Thank you. Scott, welcome. It’s great to have you here. I was wondering if you could share your thoughts in terms of M&A for NICE now that you’re here. And two sides to that question. The first side is what you might consider acquiring, and the other side is how you feel about like the financial crime and compliance business and the public safety and justice business and whether it might make more sense to divest those over time and focus on the core opportunity around customer experience and customer engagement.
Scott Russell: Thank you, Pat, for the question, and thank you for the warm welcome. Look, there’s no doubt. I mentioned in the opening comments that I provided; NICE has a – it’s a remarkable financial position that we’re in. We’ve got obviously a very strong balance sheet. We generate cash and we’re able to, from our operations, exceptionally well. And that gives us optionality. There is no doubt that when I look forward and our ability to be able to fulfill what we believe our customers need, not only on the AI side, but that platform to be able to deliver the outcome that they need, we’re looking at organic growth for sure, because we’ve got a great platform already. But it does give us optionality on the inorganic side. But it’s got to be driving value that will deliver long-term growth for our business and for our customers. And that is where my head space is at, but also what I think the needs of this business is. And that’s true not only on the CXone side, that’s all parts of the business. As it relates to FCC, all I can say is it is a vital part of our business. It’s a well-performed business. And I think what I can say is when we get together, as I shared earlier, I’m looking forward to sharing more details about our strategy. How that will put into a growth plan and the details behind it, I’ll be more than happy to share more on what those expectations are for both organic and inorganic moves.
Operator: Your next question comes from the line of Catharine Trebnick with Rosenblatt.
Catharine Trebnick: Thank you for taking my question and welcome, Scott. So just you’ve talked a lot about your going upmarket, large deals bookings, et cetera. What’s the strategy for the mid-market? Because it seems to me that the mid-market customers that you deploy have a faster turn to revenue. So could you explain to us your thoughts on the mid-market? Thank you.
Scott Russell: Yes. So first, you’re right. We’ve talked a lot about the upper end. And there’s no doubt that we’ve got a platform that caters for the scale and the real-time needs at the upper end. But that’s also true for the mid-market. The mid-market also needs scale in real-time. I firmly believe that our platform and our capability can serve the mid-market really well, a simpler deployment time frame. That comes back to partnerships, by the way, because our deployment partners, to be able to in an agile, sharp way of being able to quick deployment, being able to serve that for the mid-market. Because they’re looking to grow their business. They’re looking for high NPS of their customers. They want to fulfill it in a more efficient way. And I do think that capability goes to the mid-market. And then clearly, at the small end, that’s obviously through partnerships through distribution means to be able to bring our platform, our capability, which is the best in the market and then do that into the small end as well. So, I know I’ve highlighted a lot on the enterprise side because, clearly, we know that’s a strength of ours. But I also see a tremendous growth opportunity to mid-market. I will highlight that I mentioned international expansion. I’ve got a lot of experience in growing businesses and scaling them around the world. Quite often, that starts in the mid-market and goes up because the U.S. is clearly a large enterprise market. But around the world, you’ve got a much bigger mid-market space. And I think we’re well set up to be able to capitalize on that opportunity given that we’ve already got presence in most of those markets globally.
Operator: Your next question comes from the line of Thomas Blakey with Cantor.
Thomas Blakey: Hi, good morning, everyone. Good afternoon in Israel and thank you for squeezing me in here. I just wanted to double-click on agentic AI and kind of better understand in terms of the 12% guide how much uptake is kind of embedded in that guide. From our checks, and you talked about increased complexity and elongated sales cycles, this is certainly a cutting-edge technology. And I just wanted to maybe just circle back there. And if – for Beth, it’s related to that question, a longer one-part question, what kind of pricing uplift could you assume from a subscription basis, even if it is consumption-based? Overall, any type of pricing commentary as that agentic AI is consumed, what that would manifest itself from a like-for-like customer. That would be helpful.
Scott Russell: Yes, great question. And I’ll start, and then, Beth, I’ll hand over to you on the second part. So I want to reiterate again, and I know we’ve mentioned it a couple of times. We’ve taken a prudent guidance. We’ve taken a prudent guidance because whilst we’re super optimistic about the potential, when you win these large or these enterprise deals, and agentic AI with its capabilities and also the deployment time frames, we want to be really clear that we’re trying to accelerate it but also that takes time for that to ultimately convert into revenue. And you understand the operating model that we run. So I believe agentic AI will be a cornerstone of our growth. As you look forward into the midterm, the growth will come from our AI platform to be able to deliver that. But it’s – the current run rate of our business is obviously factored into the 12% revenue. And maybe, Beth you can comment a little bit.
Beth Gaspich: Yes, sure. In terms of the pricing uptick, first, I would highlight that AI is embedded across really everything that we do when you consider our platform. So our AI is advancing both ages [ph] as well as, of course, its agent list as well. So we are still continuing to have AI that’s embedded on the pricing side as part of the agent-based pricing. But even we’re turning more and more towards a consumption-based model on the agentless side because that is the way of the future. So when we look at that, we have multiple examples, where we see customers with – receiving great ROI from the adoption. They’re able to [indiscernible] costs, they’re able to increase their spend in technology in our AI platform. And on the other side of that, for us, again, the uptick that we received is a broad range depending on what level of AI that the customer is adopting. But as we’ve described, 97% of our large enterprise deals last year included – our AI offerings. And so they are – we’re consistently seeing that, that is driving a nice average increase in our deal size. And so as I said, it’s a broad range. But we see that playing out. And of course, as the customers continue to further adopt and continue to ramp up usage on those platforms, that will play out over time and as part of the growth acceleration we expect to see in the future.
Operator: Your final question comes from the line of Timothy Horan with Oppenheimer.
Timothy Horan: Thanks a lot guys. The 7% revenue growth you’re guiding to, what do you think the industry is growing at overall? And can you talk about maybe the competitive impact or any changes that you’re seeing? I guess, particularly from Salesforce and their partnerships out there and the other cloud providers, any change out there? And I guess, ultimately, is AI going to be accretive to the overall industry revenue growth? Or will it hurt overall industry revenue growth? Thank you.
Beth Gaspich: Thanks for the questions, Tim. And I think you asked a few, so let us try to address them and we can circle back and make sure we’ve covered everything. First, with respect to the total revenue growth, I think it’s important to highlight that you can’t always put us side-by-side with some of the other players because we are still a hybrid of both the cloud company and a premise-based business. Of course, the cloud mix is changing and continuing to expand further and further. And in fact, we reached 74% of our overall revenue in last quarter was coming from the cloud. And of course, that’s the trend we continue to expect. But certainly, the total revenue is taking into consideration that transition of the premise customers, and that’s a declining part of the business. When you think about the premise, that offsets the real potential and growth that we see in the cloud. That’s specifically why we call out our expectation in the cloud, which is really where we’re focused. We are continuing to drive that acceleration. And again, it’s more about us driving the cloud growth faster, even though it may and sometimes come at the expense in a near-term quarter, because that is consistent with our overall strategy and direction as a company. And Tim, was there – again, I don’t know if you had other questions we didn’t get to.
Timothy Horan: Just the competitive intensity. Has it changed much out there? It seems like Salesforce and some of the cloud providers have ramped up their offerings.
Scott Russell: Yes. Let me cover that. So first of all, there is – it’s a dynamic market. I will say that, Tim. There is no doubt that there is. And there’s a lot of hype. There’s a lot of slideware. There’s a lot of noise that you can easily see. What we see in customer service is that to deliver the efficiency and the automation that our customers need in customer service and the real-time that I mentioned before, needs to be – and the agentic AI opportunity, it’s got to be on a single platform. They’re not interested in how – their consumers using different platforms, differing interactions without it being unified under and the orchestration being. So, whilst, yes, we see others that have got a capability that, I would argue, that is really good for interactions, that are static or more systems of record where you’re – it makes the marketing AI or other things that CRMs can provide. As it relates to customer service, that real-time interaction between digital, human and AI agent becomes the critical factor. And I’m convinced that the market will continue to go that way. There will be generic AI players out there that will have – they will have standard platforms. But the value will come from the ones that really understand the data, be able to apply that data and deliver it and that is NICE.
Operator: I will now turn the call back over to Scott Russell for closing remarks.
Scott Russell: So first of all, thank you, everyone, for the kind words of welcome in my first earnings call. I look forward to working with you as we go forward, and have a wonderful day ahead. Thank you so much.
Operator: Ladies and gentlemen, that concludes today’s call. Thank you all for joining. You may now disconnect.